Operator: Welcome to the Liberty Broadband 2023 Q1 Earnings Call. [Operator Instructions]. As a reminder, this conference will be recorded on May 2. I would now like to turn the conference over to Shane Kleinstein, Vice President, Investor Relations. Please go ahead.
Shane Kleinstein: Thank you, and good afternoon. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent Forms 10-K and 10-Q filed by Liberty Broadband and Liberty TripAdvisor with the SEC. These forward-looking statements speak only as of the date of this call, and Liberty Broadband and Liberty TripAdvisor expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Broadband or Liberty TripAdvisor's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Broadband, including adjusted OIBDA. Information regarding the comparable GAAP metrics, along with required definitions and reconciliations, including preliminary notes in schedules 1 and 2, can be found in the earnings press release issued today as well as earnings releases for prior periods, which are available on Liberty Broadband's website. Now I'd like to turn the call over to Greg Maffei, Liberty's President and CEO.
Gregory Maffei: Thank you, Shane, and good afternoon to all. Today speaking on the call, we will also have Liberty Broadband's Chief Accounting and Principal Financial Officer, Brian Wendling; Ron Duncan, CEO of GCI; and Pete Pounds, CFO of GCI, will also be available to answer questions. I'd note also during the Q&A, we will be happy to answer questions related to Liberty TripAdvisor. But note, Liberty -- TripAdvisor rather has not yet reported its Q1 results, so we will be unable to comment on the current quarter. So beginning with Liberty Broadband, in the first quarter, we issued $1.3 billion of a 3 1/8% Charter exchangeable, and we used the proceeds and some cash we had on hand to repurchase $1.4 billion of Charter's exchangeable debt that was due this year. Note that also since we are under the 26% fully diluted ownership cap, early this year, driven by Charter's annual compensation grants, we have not bought any stock back since January, any of the Charter stock back. We have not sold any into the buyback since January. We expect to resume sales into Charter's buyback pursuant to our stockholder agreement, though we do anticipate lighter buybacks this year at Charter due to investments by the company. With the near-term liabilities addressed, our plan is also to resume LBRDA and LBRAK buybacks using the majority of our after-tax proceeds from those Charter share sales. And looking at Charter itself, we had solid operating results. We added 76,000 new Internet subs in the quarter, good growth given the current broadband environment, and that was a sequential improvement through Q1. Mobile continues to be an area of continued strength. Spectrum One is resonating in the market. I'd note, beginning in the fourth quarter, these free lines associated with Spectrum One will be converted to paid, and we expect them to drive margin improvement and a tailwind to EBITDA growth. So we added 686,000 mobile lines in that first quarter, nearly double what we did last year. Cable share of mobile adds -- total mobile adds continues to increase and is estimated to be 55% in the first quarter versus 35% in the fourth quarter. We have overall reported good financial results. Revenue was up 3.4%, and EBITDA was up 2.6% during a period of heightened investment. Broadband revenue was up 5%, benefiting from both ARPU and customer growth. Broadband ARPU alone was up 4%. We are pleased with some of the progress that is underway at Charter on key initiative investments that Chris and his team have made, including on the network upgrade, the rural build and mobile convergence. And with that, I'd like to turn it over to Brian to discuss the financial results in more detail.
Brian Wendling: Thank you, Greg. At quarter end, Liberty Broadband had consolidated cash and cash equivalents of $169 million, which includes $59 million in cash held directly at GCI. The value of our Charter investment based on our shares held as of May 1 and Charter share price at today's close was $16.8 billion. At quarter end, Liberty Broadband had a total principal amount of debt of $3.8 billion. Note, this excludes preferred stock and remaining indemnification obligation. As Greg mentioned, we did not have proceeds from Charter share sales in the period from February 1 through April 30. We do expect to resume our share sales to Charter as required in our stockholder agreement to maintain our fully diluted ownership percentage of 26%. For the full year 2023, our annual tax guidance on Charter share sales remains in the 7% to 13% range. Looking at GCI. GCI had a good first quarter. Solid performance has allowed the company to spend $40 million in dividends up to Liberty Broadband during the quarter, and we'd expect additional dividends to be paid this year. Leverage, as defined in its credit agreement, was 2.87% -- or 2.87x as of quarter end. And GCI has $397 million of undrawn capacity under its revolver. Revenue and adjusted OIBDA were up $13 million and $3 million, respectively. The revenue growth was led by additional data sales, primarily to our RHC and school customers, which was partially offset by continued declines in our video business, which significantly impacts revenue, but does not meaningfully impact free cash flow. Adjusted OIBDA grew less than revenue, primarily as a result of inflationary pressures, primarily in labor, and lapping a couple of onetime benefits recognized last year in bad debt and property taxes. Over the last year, GCI has added nearly 6,500 revenue-generating wireless subscribers and nearly 4,500 cable modem customers. And with that, I'll turn the call back over to Greg.
Gregory Maffei: Thanks, Brian. To the listening audience, we appreciate your continued interest in Liberty Broadband and Liberty TripAdvisor. And with that, operator, I'd like to open the line for questions.
Operator: [Operator Instructions] Our first question comes from Barton Crockett with Rosenblatt Securities.
Barton Crockett: Okay. And really, I think, for you, Greg, and also maybe by implication and extension to GCI, I'm just curious, Greg, about your view of the substance of the promotional kind of push that Charter is making into mobile, which obviously has been subject to some back and forth with Charter and T-Mobile. And really, the question is, are they adding substance or kind of empty calories in terms of the subscribers that they're bringing on with essentially buy one, get one free push and the low pricing? Do you think that this is something that can drive EBITDA growth? Or are they empty calories? And if it does drive EBITDA growth, are there some elements of it that are extensible to GCI up there in Alaska?
Gregory Maffei: I'll take the first part and comment on Charter, and then let Ron talk about the implications for GCI. So thanks, Bart, for the question. Look, I think this is a great strategy. I think unlike many, we're still mostly not subsidizing devices, but we are subsidizing lines that are relatively low cost for us that we expect will add substantial margin really kicking in, in the fourth quarter. They are probably contributing to some of our broadband growth and certainly will continue to contribute to our reduced churn. And I think it's a win for us to broaden our relationship and our EBITDA potential out of every household, every client, every customer. So I think it's a great strategy, and we're fully behind it. Ron?
Ronald Duncan: Thank you. Our mobile situation is a little different than Charter's because we're our own mobile network operator. We're not a reseller. So our economics are different and help us drive EBITDA a little sooner. But we are bundling, and we're bundling heavy. We have almost 20% of our data customers and almost 40% of our wireless customers on what we call our GCI+ plan. It's a very substantial savings to the consumer. It's beneficial for us, and it also very materially reduces churn. We're experiencing churn for both bundled data and wireless customers that's half or less than the stand-alone product churn. So for us, it's a good EBITDA generator. And it's a very, very powerful inoculant against churn. So we're very, very enthusiastic on the combination of the wireless and the wired data.
Barton Crockett: That's helpful. And then if I can...
Gregory Maffei: I also would note one more thing, Bart, if I could go. As we continue to build out this space of mobile subscribers, I think 2 benefits are going to happen down the line. One is that will be a substantial group of customers with whom to negotiate for a subsequent MVNO. And as we scale, the opportunity to build out in the most attractive markets and utilize the CBRS spectrum that we purchased is another opportunity to enhance margins. So I like the strategy.
Barton Crockett: Okay. That's great. And then I was just curious in terms of Alaska, I was just wondering if you could comment on how the consumer is feeling there? There's so many questions about the macro backdrop, and I don't think people often ask about Alaska as an indicator, but I'd be kind of curious, what are you seeing out there?
Ronald Duncan: So I'm not sure we're a very good indicator of the nation because we tend to be countercyclical, and our economy still is struggling up here in terms of adding and losing residents in the state. But the consumer, as far as we can tell, seems to be doing fine. Bad debt has come up slightly since last year, but it's still very well below the pandemic. We're tight for employees, have a hard time finding them. People still seem to have money to spend. We don't see any signs of the consumers slowing down in our business, and we're probably less robust than most of the markets in the Lower 48.
Operator: Our next question comes from James Ratcliffe with Evercore ISI.
James Ratcliffe: Two, if I could. Greg, first of all, any update on the prospect for listing the Charter ownership cap? But it's been a moot point of late because the buybacks have eased off, still being below 26%, but thoughts on whether that's appealing and what the prospects of doing that are? And secondly, just any update on where you're seeing tax leakage from the buyback and using to fund other buybacks?
Gregory Maffei: Yes. Thanks for the question, James. On the first point about lifting the cap, had some discussions with management and independent Board members, and I believe there is -- now that we're post settlement on some shareholder issues, I think there's more openness to that. I don't think I'm misspeaking Chris' view that Liberty is a positive as a substantial shareholder, long-term shareholder and that having us increase is only a statement that would speak to our belief in the company, which I think it would. And having more of the buyback devoted to other shareholders, non-Liberty shareholders would be a positive in the marketplace. So lots of reasons why we think it's good, and I believe Chris feels the same. And I've had, as I said, some positive discussions with independent Board members, though we're certainly not complete on that. I do think you're right to note it'd probably be less of an issue this quarter, next coming months, but it's something we certainly plan to address. I'll let Albert discuss the tax leakage situation.
Albert Rosenthaler: Yes. With respect to any sort of tax leakages, we'll also stop buybacks. We're not experiencing any of that. For the year, I think it could be in the 7% to 13% range with respect to a tax rate. I think it's going to tend to be towards the lower end, given the absence of repurchases at this time.
Operator: Our next question comes from Matthew Harrigan with Benchmark Company.
Matthew Harrigan: More or less a quasi Investor Day question, but do you have any concerns about the dysfunction in Washington on tax policy in particular that might make it difficult to implement a Section 355 transaction at some point? I mean I know that there are interpretations of the Blackletter law, but nonetheless, Treasury and IRS can get politicized, to say the least, and the government is certainly looking for revenue.
Gregory Maffei: I'll let Albert go on this one as well.
Albert Rosenthaler: We've not seen anything from a legislative perspective that we think would impact anything that we've -- any sort of -- in transactions we would be pursuing.
Gregory Maffei: All right, operator, thank you. I believe that's the last of our questions. Thank you again to our listening audience. We hope to speak with you next quarter, if not sooner.
Operator: That concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.